Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to the New York Mortgage Trust First Quarter 2024 Results Conference Call. [Operator Instructions] This conference is being recorded on Thursday, May 2, 2024.
 I would now like to turn the call over to Kristi Mussallem, Investor Relations. Please go ahead. 
Kristi Mussallem: Thank you, operator, and good morning, everyone. Thank you for joining us today for our first quarter 2024 earnings call. A press release and supplemental financial presentation with New York Mortgage Trust's first quarter 2024 results was released yesterday. Both the press release and supplemental financial presentation are available on the company's website at www.nymtrust.com.
 Additionally, we are hosting a live webcast of today's call, which you can access in the Events and Presentations section of the company's website. At this time, management would like me to inform you that certain statements made during the conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.
 Although New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time-to-time in the company's filings with the Securities and Exchange Commission.
 Now at this time, I would like to introduce Jason Serrano, Chief Executive Officer. Jason, please go ahead. 
Jason Serrano: Hi. Thank you for joining New York Mortgage Trust's first quarter earnings call. Joining me today is Nick Mah, President; and Kristine Nario, CFO. Starting with the first quarter activity noted on Page 7 of our Q1 supplemental, the company incurred earnings per share of negative $0.75 or $0.68 on an undepreciated basis.
 GAAP book value per share declined 9.73% or 9.08% on adjusted book value. As mentioned in my earlier statement, impairments to our JV equity positions are the primary driver of the book value and earnings decline.
 In the first quarter, divestments of the JV equity portfolio has been a challenge in a higher rate environment alongside unfavorable market conditions impacting underlying property cash flows, both negatively impacting valuations. We are focused on reducing our exposure to multifamily joint venture equity investments, which represent less than 5% of the company's capital allocation or less than 1% of portfolio assets at the end of the quarter.
 However, as exposure to JV equity approaches 0 and allocation to Agency RMBS increases, we expect book value volatilities to subside. With the company's current liquidity, we are focused on moving from the volatility caused by our JV equity book to prudently grow the company's balance sheet for income growth in the year.
 In the first quarter, we continued to favor short-duration residential credit in the form of BPL-Bridge loans and in Agency RMBS with $608 million of acquisitions. Nick will touch more on this later, but we see excellent risk-adjusted returns within these sectors in economy that could be potentially facing an inflection point.
 The Fed's chairs surprise Dilbert's comments late in Q4 is certainly now in the distant past. The market has repriced the rate curve in the first quarter. The 5-year treasury yield has retraced some of the steady declines witnessed late last year by jumping from 3.9% to 4.2% in the first quarter.
 The market anticipated 6 rate cuts in 2024 starting in March, which has given way to less than 2 cuts now with the first cut expected only later in the year. Contending with these assumptions was surprisingly low first quarter GDP [ print ]. U.S. growth has slowed from nearly 5% over 6 months ago to 1.6% today.
 The result would have been far worse if not for the U.S. economy dipping into personal savings. Holding the savings rate steady from the prior quarter of 3.6% would have resulted in a GDP print of approximately 50 basis points.
 Consumer expenditure drawing on savings, coupled with record credit card debt, utilization is not sustainable method of continuing GDP growth. Also, I wanted to quickly point out that the BEA's release of the year-over-year Core PCE, which is the Fed's preferred inflation measure jumped up slightly in March. The story is not the magnitude, but the fact that it's going in the wrong direction.
 However, looking deeper into the result, the increase in price was predominantly related to the service sector, which is an imputed number. Observable durable goods prices were lower in the month, which could provide better insight into the future Core PCE expectations.
 In other case, the final 80 basis points to meet the Fed's inflation target of 2% is proving to be sticky and the market is adjusting to this issue. We believe the economy is signaling potential late-stage cycle conditions. We expect slow to moderate growth for the rest of the year and increasing the risk of recession.
 In response, we continue to take a balanced approach to opportunities by intentionally lowering credit exposure or by avoiding identifiable risk. We believe the fixed income investments, particularly short-duration mortgage credit [ Agency ] RMBS continue to provide compelling returns within this economic backdrop.
 Focusing on these assets have led to a 35% first quarter year-over-year increase in adjusted interest income at the company. After seasonality effects, which typically depress market activity in Q1, we are focused on increasing interest income through portfolio growth to drive earnings. We expect to deploy the company's excess liquidity of $402 million into this higher rate environment.
 At this time, I'll pass the call over to Kristine for additional comments on our financials and then to Nick for portfolio management discussion. Kristine? 
Kristine Nario: Thank you, Jason. Good morning. Today, I will focus my commentary on the main drivers of first quarter financial results. Our financial snapshot on Slide 11 covers key portfolio metrics for the quarter and Slide 25 summarizes the financial results for the quarter.
 As Jason just covered, the company had undepreciated loss per share of $0.68 in the first quarter as compared to undepreciated earnings per share of $0.37 in the fourth quarter. Our earnings were impacted by our recognition of $0.56 per share of losses primarily on certain multifamily real estate assets held by JV equity investments due to a decrease in the estimated fair value of the real estate as compared to the carrying costs and the reclassification of one of our JV equity investments in multifamily properties from held for sale to held and used. We had net interest income of $17.9 million, a contribution of $0.20 per share, up from $0.19 per share in the fourth quarter.
 Our quarterly adjusted interest income, a non-GAAP financial measure, increased by $5.6 million to $78.1 million in the first quarter from $72.5 million in the fourth quarter. The increase is due to the growth in our interest-earning assets resulting from $608 million in investments made in Agency RMBS and short-duration business purpose loans. The increase in adjusted interest income was offset by a $2.9 million increase in adjusted interest expense due to the financing of investments made during the quarter.
 Our interest rate swaps continue to benefit our portfolio, reducing our adjusted interest expense by $8.3 million during the quarter. Overall, the operations of our consolidated multifamily JV properties contributed a net loss of $0.18 per share during the quarter, an increase from a net loss of $0.08 per share in the fourth quarter. The increase in net loss is a result of: one, an increase in depreciation expense related to operating real estate as a result of the reclassification of certain multifamily real estate assets owned by entities in which we have a JV equity investment from held for sale to held and used at the end of the fourth quarter.
 Second, an increase in lease intangible amortization due to a consolidation of a preferred equity investment at the end of the fourth quarter and a decrease in income from real estate due to the full quarter impact of the deconsolidation of 2 multifamily real estate assets and as a result of nonrecurring income recognized in the fourth quarter related to earnest money proceeds received from a canceled sale.
 As mentioned earlier, during the quarter, we recognized $50.8 million or $0.56 per share of losses related to the following: first, a $36.2 million or $0.40 per share loss from impairment charges on real estate due primarily to lower net operating income estimates and wider cap rates resulting in lower property valuations as compared to our carrying costs.
 And second, a $14.6 million or $0.16 per share loss related to the reclassification of our multifamily properties from held for sale to held and used as of March 31 as it no longer met the criteria to be held for sale in conformity with GAAP. We continue to market for sale our JV equity investments in 3 multifamily properties, but we can provide no assurance of the timing or success of our ultimate exit from these investments.
 The fair value changes related to our investment portfolio continued to have a significant impact on our earnings. During the quarter, we recognized $39.4 million or $0.43 per share of unrealized losses due to lower asset prices, primarily in our Agency RMBS portfolio as a result of increases in interest rates. These losses were offset by $0.54 per share in gains recognized in our derivative instruments, primarily consisting of interest rate swaps and caps.
 We also recognized $10.5 million or $0.12 per share of realized losses related to the sale of certain nonperforming and performing residential loans and losses incurred on foreclosed properties due to lower valuations during the first quarter. We had total G&A of $13.1 million, up from $11.7 million in the previous quarter, primarily due to nonrecurring professional fees and consulting fees incurred during the quarter.
 We had portfolio operating expenses of $11.3 million, which increased primarily due to debt issuance costs related to securitizations issued during the quarter. There were expenses incurred as a result of the fair value option election of the CDOs issued, an increase in expenses related to asset management of our BPL-Bridge portfolio.
 Adjusted book value per share ended at $11.51, down 9% from year-end. The main drivers of our adjusted book value change were $0.75 in basic loss per share, a reduction of $0.20 per share related to our declared dividend and a negative $0.12 per share change in estimated fair value for our amortized cost liabilities.
 As of quarter end, the company's recourse leverage ratio and portfolio recourse leverage ratio increased to 1.7 and 1.6 respectively, from 1.6 and 1.5 respectively, as of December 31. While our financing leverage remains low relative to historical levels, we would expect our leverage to move higher as we continue to expand our holdings of highly liquid Agency RMBS.
 Our portfolio recourse leverage on our credit book is down at 0.3x when compared to 0.4x from the previous quarter due to the completion of 2 securitizations this quarter, of which a portion of the proceeds were used to replace recourse through purchase financing.
 Consequently, our debt subject to mark-to-market margin calls reduced to 56% from 58% the prior quarter. The remaining 44% of our debt as of March 31 has no exposure to collateral repricing by our counterparties. We paid a $0.20 per common share dividend unchanged from the prior quarter.
 We continue to evaluate our dividend policy each quarter and look at the 12- to 18-month projection of not only our net interest income, but also realized gains -- realized or capital gains that can be generated from our portfolio. We remain committed to maintaining an attractive current yield for our shareholders.
 However, we expect undepreciated earnings per share to remain below the current dividend as we continue to rotate excess liquidity for reinvestment in a more attractively priced market.
 I will now turn it over to Nick to go over the market and strategy update. Nick? 
Nicholas Mah: Thank you, Kristine. In the first quarter, we saw upside surprises in inflation data amidst a still resilient labor market. This showed just how challenging the last mile of the Fed's journey to tame inflation was going to be.
 On a positive note, the healthy economic environment and the strong real money demand for paper have allowed for mortgage and residential credit spreads to remain stable in the quarter. Amidst this market backdrop, we continue to make inroads in our goal of generating more consistent earnings through growth in our investment portfolio.
 In the quarter, we acquired $608 million of assets, primarily concentrated in $298 million of Agency RMBS and $302 million of BPL loans. Investment activity this quarter has been more evenly balanced between Agency RMBS and BPL, with acquisitions of agencies decreasing and BPL increasing quarter-over-quarter. The relative value assessment of Agency RMBS has tempered the pace of our Agency RMBS acquisitions due to the tightening of spreads over the past 6 months.
 The current coupon mortgage spread to interpolated 5- and 10-year treasuries was in the high 130 basis points at the end of Q1. Even though this level was relatively unchanged quarter-over-quarter, there were more attractive opportunities for capital deployment in the prior year.
 For example, in Agency RMBS, our average ZV spread of spec pool purchases in Q1 was 149 basis points compared to 176 basis points in Q4 of last year. Our Agency RMBS strategy remains unchanged as we see the asset class as complementary to our overall residential credit portfolio. We are targeting current coupon spec pools with current coupons currently in the 5.5% to 6.0% coupon range.
 Over the quarter, our overall average coupon on the portfolio remained relatively unchanged at 5.84%. We also continue to prioritize lower pay-up spec pools, particularly in credit stories like high LTV and low FICO for some additional prepayment protection.
 Leverage in this agency strategy is at 8.1x, which is higher than the last quarter's ratio of 6.7x, primarily due to lower bond prices in the quarter. This is still within our acceptable leverage range to manage this strategy.
 Overall, we believe that Agency RMBS is an asset class that will outperform in this market environment. At these levels, Agency RMBS spreads are anchored at the higher range of historical returns. So we aim to add to our Agency RMBS positions every quarter.
 However, we will be opportunistic and continually adjust the pace of purchases based on market spread moves as we did throughout 2023. We believe that uneven economic data and market fluctuations may create periods during the year where spreads move wider and we can ramp up the pace of capital commitment into this sector.
 Relating to BPLs, we have had recent success in growing the acquisition pipeline from our origination partners. The $302 million of purchases this quarter represents a 30% increase from the prior quarter. These BPL purchases consist of $273 million of BPL-Bridge loans and $29 million of 30-year BPL rental loans. We have restarted our acquisitions of longer-term BPL rental loans to prudently add some duration to the portfolio.
 The BPL rental program is now also supported by a healthy securitization market for term funding. We are in an advantageous position to source BPL loans given our long-standing market position. We expect continued growth in future acquisitions in both BPL-Bridge and BPL-Rentals in the coming quarters as we refine pricing and credit guidelines with new and existing origination partners. On BPL-Bridge, this remains a core strategy for us as the short duration profile and high carry are suitable for this uncertain market environment.
 Furthermore, total principal losses remain at a low level, currently below 15 basis points on total purchases to date of $3.8 billion as of the end of the first quarter. We have chosen to pursue BPL-Bridge loans where the credit profile and the liquidity of the underlying assets are sound. We continue to limit exposure to fringe sectors of lending in ground-up construction loans and multifamily bridge loans, both combining to comprise only 5% of this quarter's BPL-Bridge purchases.
 As I mentioned last quarter, the introduction of weighted securitizations in the BPL-Bridge market now confers better financing execution to the more mainstream and credit-secure BPL bridge product. We are exploring weighted securitization vehicles as another future means of funding our BPL-Bridge program.
 The securitization market has been more conducive to issuance in 2024 thus far. The limited supply of investable residential assets has met an increasing demand for bonds from a broader investor base. We issued 2 securitizations in the first quarter and we hope to be a more frequent issuer for the rest of the year.
 Our first securitization executed this year was a $225 million revolver securitization backed by BPL-Bridge with an effective cost of 7.43%. We are utilizing the 2-year revolver structure to finance our existing and future BPL-Bridge purchases. The second deal we did this year was a $276 million performing and reperforming loan rated securitization with a 5.75% effective cost issued in March.
 Although we have not been purchasing any meaningful amount of performing or reperforming loans in the last couple of years, we used the securitization to optimize the financing on some of our existing assets. This year, our increase in purchasing activity in whole loans will allow for us to more consistently access the securitization markets.
 Shifting our focus to multifamily mezzanine lending, we currently have $207 million of allocated investments. We are focused on recycling the return capital into similar assets or into our core strategies as the portfolio continues to pay off. Through Q1, a seasonally slow payout period, the annualized payoff rate is at 11%, driven by the resolution of a $6 million loan and a 14% IRR.
 This annual payoff rate is lower than the historical average of 27%, but we do expect the payoff rate to increase over the year. We continue to see built-up equity below our mezzanine position due to the seasoning of the portfolio, which creates incentives for sponsors to unlock equity through a sale or recapitalization.
 Additionally, overall occupancy numbers at 90% point to a mature and stabilized portfolio. We experienced impairment losses totaling $36 million and additional reclassification losses of $15 million in the quarter, primarily in our JV equity portfolio.
 The impairments on our JV equity portfolio in the quarter are driven by several factors. First is the expectation of lower current and future rents at the properties, reflecting supply pressure from competing new builds being delivered in the same markets. This supply glut has the potential to resolve in the future, after which we can expect more normalized rent growth. Operating expenses on average have also been higher, driven by senior debt costs, insurance and property taxes.
 Finally, cap rates on the properties have also drifted slightly higher due to rates. We do expect that being left with the remaining portfolio of $52 million means that any future losses within this portfolio should be range-bound given the size of the exposure. We continue to invest asset management resources to maintain and improve the underlying drivers of higher valuation such as improving rent growth or value-add rehab.
 At the same time, we are also continuing to pursue resolutions for assets that are held for sale and to maintain and improve NOI for our held and used assets.
 At this time, we will open the call for Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of Bose George with KBW. 
Bose George: Actually, how big could Agency RMBS become as a part of your total capital, assuming spreads remain reasonably attractive? 
Nicholas Mah: Yes. So I think -- this is Nick. We do expect to continue to grow the portfolio, the pace of investments just given where -- how much spreads have come in, the pace of that will decline somewhat, although we do expect that to continue to grow. So right now we have approximately in the low $2 billion type exposure. I would not be surprised if this continued to grow to the end of the year, something under $3 billion, but we believe that market conditions have to meaningfully widen out for us to really hit that $3 billion number. 
Bose George: Okay. Great. And then if there's anything you can do on the cost side to help the ROEs? Or will that require more of the -- until the disposition of the JV properties? Is that -- is the expense side remain kind of harder to control? Just curious what levers you have to pull there? 
Jason Serrano: Yes. So on the expense side -- this is Jason Serrano, on the expense side we do see some opportunities. We're implementing those now and expect to see some relief on that side of the equation. That's going to be something that we're to be implementing through the course of the year. So it won't show up in any one particular quarter in a meaningful way. But I think over the course of the year, you'll see our expenses come in, which is the current game plan today. 
Operator: [Operator Instructions] Our next question comes from Doug Harter with UBS. 
Douglas Harter: I know you touched on the dividend in the prepared remarks, but just hoping to get a little bit more clarity on kind of how you're thinking about the outlook, kind of when we're looking at net interest income less your operating and portfolio expenses, less the preferred dividend, it seems like there is a long way to go to kind of get back to the dividend level. Just curious as to kind of how you're thinking about the right level kind of in that construct? 
Kristine Nario: This is Kristine. So in our prepared comments, we did say undepreciated earnings, we expect it to be a little bit below our dividend. And this is really a function of our conscious decision in 2022 to significantly curtail our investment activity after the Fed's first rate hike. And this allowed us to essentially we believe preserve liquidity and limit our material risk if we were to underwrite investments in the peak valuations in 2022.
 But we stabilized our portfolio holdings, adding about 50% or increasing our interest income by 50% if you compare it to last quarter of 2023. And we will continue to opportunistically dispose assets in our portfolio and our goal is to generate high portfolio turnover to transition these investments into mid-type teens return. 
Operator: Our next question comes from the line of Eric Hagen with BTIG. 
Eric Hagen: Just for modeling, I mean, what's the cost of financing now on the $1.7 billion of securitized debt? How does that compare to the cost of financing for the mark-to-market repo on the credit portfolio? 
Nicholas Mah: Yes. So from a securitization perspective, it is a lower cost of debt relative to repo for the time being, which is one of the reasons why we are trying to move more of our assets into the securitization space. So just generally speaking, from a repo cost perspective is usually struck at SOFR anywhere between, let's call it, 200 to 300 basis points.
 And depending on asset class and depending on the securitizations that you're doing, whether it's rated or unrated, you could achieve probably, let's call it, 25 to 50 basis points of savings depending on where you are. But there is also a benefit of securitizations being executed with -- at a tenure that is longer than what is implied by just SOFR. So you're also getting the benefit of the inverted yield curve. 
Eric Hagen: Okay. That's helpful. Any perspectives on delinquencies that we're seeing in the BPL-Bridge space and how your portfolio kind of compares to some of the trends that we've seen elsewhere in the market? And how much appetite you might even have to extend loans in cases where the sponsor is struggling from higher interest rates? 
Nicholas Mah: Yes. So I mean, we do disclose our delinquency rates on our BPL-Bridge portfolio. You can see that has been relatively stable over the last few quarters. If you remember, the -- our portfolio, given the fact that we have slowed our purchases a couple of years ago, we have seen those delinquencies numbers pick up as the portfolio approaches maturity.
 So now the dynamics are clearly different. We continue to buy assets, but even then, just the dollar value of delinquencies have remained relatively stable. And we expect that to continue to be the case as this goes on. So we've effectively already gone through one full cycle on the portfolio that we have already displayed in terms of public information.
 Relating to our propensity to pursue extensions, it's -- we do continue to look at that. That is a very common part of the BPL-Bridge portfolio. I would say that we haven't really changed in terms of the frequency by which we approve extensions. The one thing to note is that we do hear that there are more borrowers who just need more time to refinance, either into another BPL-Bridge loan or into a longer-term investor loan.
 And that is something that we explore with them in terms of the viability of whether or not that is something that is likely to happen or that is just a hope. And to the extent that this is something that we believe is true and we have a -- clearly, a very good sense in the market given that we do buy both those types of assets and we do talk to originators all the time, to the extent that we do believe that there is a viable path for them to get refinanced in the near future, we will grant those extensions. 
Eric Hagen: Yes, that's helpful. Last one for me. I mean, the 3 properties that you mentioned you're actively marketing and taking a disposition on for the multifamily portfolio, any idea where that could shake out relative to your cost basis and where you're carrying it right now? 
Nicholas Mah: Yes. I mean, so I think overall, I think it would be helpful to just provide a little bit of backdrop on the 13. I know you mentioned the 3. All of the entire portfolio is a portfolio that we are looking to monetize over time that we just think there's different time lines related to the 3 versus the remainder. And this is a portfolio where these were mostly the add-value programs that we bought about 3 years ago.
 And unfortunately, the timing of the lease-up activity on those added value, which I've mentioned earlier like this is J-curve phenomenon where you're fixing units up, putting back a market, getting the units to be released at higher rental rates is the goal. We faced in the markets, which is part of the impairment and unrealized losses we took in the quarter, we faced a market where you have also a new supply in the market that's also going through absorption.
 And that depressed expected rents in the near term. We held that basically as part of the impairment on unrealized losses was reflecting the weakness in rents we see in these markets. The absorption rate we expect to be -- to alleviate the rental pressure over the course of the year. So we expect to see hopefully gains related to that in the rental rates.
 But overall, the timing of it is very difficult. It's been a really challenging experience here with respect to the market and our timing, which obviously was unknown back 3 years ago that we'd be facing this higher cap rate environment at this type of level and then the step-back of demand in the multifamily market. So we're going through that. We think we are appropriately marked on our assets using fair value analysis.
 And we're expecting our book to be stable -- more stable over time we've had. And it is less than 5% of our capital, less than 1% of our portfolio. So the impact to our earnings will be -- is just less meaningful than it was 2 quarters ago. So our asset management team is working hard to get these assets disposed, but we have to take in light the fact that there's these kind of short-term pressures that have impacted valuations and we're looking for some relief related to that. 
Operator: This concludes the question-and-answer session. I would now like to turn it back to Jason Serrano for closing remarks. 
Jason Serrano: Yes. Thank you for joining our first quarter earnings call. Our second quarter call will be done -- will be conducted in August and we look forward to talking to you. Thank you. 
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.